Operator: Hello, and welcome to the Fiverr Q1 Fiscal 2023 Earnings Conference Call. My name is Elliott, and I'll be coordinating your call today. [Operator Instructions] I'd now like to hand over to Jinjin Qian. The floor is yours. Please go ahead.
Jinjin Qian: Thank you, operator, and good morning, everyone. Thank you for joining us on Fiverr's earnings conference call for the first quarter that ended March 31, 2023. Joining me on the call today are Micha Kaufman, Founder and CEO; and Ofer Katz, President and CFO. Before we start, I'd like to remind you that during this call, we may make forward-looking statements and that these statements are based on our current expectations and assumptions as of today and Fiverr assumes no obligation to update or revise them. A discussion of some of the important risk factors that could cause actual results to differ materially from any forward-looking statement can be found under the Risk Factors section in Fiverr's most recent Form 20-F and other filings with the SEC. During this call, we'll be referring to some key performance metrics and non-GAAP financial measures, including adjusted EBITDA and adjusted EBITDA margin. Further explanation and a reconciliation of each of the non-GAAP financial measures to the most directly comparable GAAP measures is provided in the earnings release we issued today and our shareholder letter, each of which is available on our website at investors.fiverr.com. And now, I'll turn the call over to Micha.
Micha Kaufman: Thank you, Jinjin. Good morning, everyone, and thank you for joining us today. We are pleased with our strong execution for the first quarter of 2023. Revenue was $88 million, up 1.5% and close to the top end of our guidance, and adjusted EBITDA was $11.3 million, above the top end of our guidance, representing an adjusted EBITDA margin of 12.8%. These robust results underscore the resilience of our business under current macro conditions, and the consistent cohort behavior of our large buyer base continues to provide us with visibility and defensibility. We have also demonstrated the operating leverage inherent in the attractive marketplace model that allows us to quickly drive adjusted EBITDA improvement as soon as we pivoted to focus on efficiency. All of this gives us confidence to deliver on our 2023 expectations set at the beginning of the year. As managers of a public company, we are committed to exercising prudence and discipline, especially as we navigate through the current macro volatility, and we strive to execute our strategies and deliver business results in a consistent manner. Today, I would like to dive into two topics that I believe will drive significant long-term growth for Fiverr: AI and Fiverr Business. First, let's talk about AI. We haven't seen AI negatively impact our business, on the contrary, the categories we opened to address AI-related services are booming. The number of AI-related gigs has increased over tenfold, and buyer searches for AI have soared over 1,000% compared to six months ago, indicating a strong demand and validating our efforts to stay ahead of the curve in this rapidly evolving technological landscape. We are witnessing the increasing need for human skills to deploy and implement AI technologies, which we believe will enable greater productivity and improved quality of work when human talent is augmented by AI capabilities. In the long run, we don't anticipate AI development to displace the need for human talent. We believe AI won't replace our sellers; rather, sellers using AI will outcompete those who don't. As a marketplace, we consistently surface the most competitive sellers who provide the best services to our buyers, which includes utilizing the best tools and technologies available. Enabling our buyers and sellers to embrace the newest technology is a feature of our dynamic marketplace and an essential aspect of our model. Furthermore, while AI generated content can be well-constructed, it is all based on existing human-created content. To generate novel and authentic content, human input remains vital. Additionally, verifying and editing the AI generated content, which often contains inaccuracies, requires human expertise and effort. That's why we have seen categories such as fact-checking or AI content editing flourish on our marketplace in recent months. So we are confident that humans will always be a part of the loop. We believe AI technology is designed to help humans be more productive and more creative, and it will give rise to many new professions, much like how the introduction of computers or big data created the profession of software engineers or data scientists. At Fiverr, we view generative AI as a key wave of innovation for our platform and we are accelerating our work in this area to ensure that we are at the forefront of capturing the opportunities ahead. This includes being the first to launch dedicated AI service categories and we are convinced that Fiverr will continue to be the go-to place for talent in the latest AI technologies. We are also exploring opportunities to empower our freelancer community with the latest AI tools to help them increase productivity and earnings. We have created products like Logo Maker and AI Audition in the past, and with generative AI, we see immense untapped potential in this area. Last but not least, as a product-led company, we believe we will benefit significantly from AI technologies to improve our product experience. Our e-commerce marketplace is unique with end-to-end user data from pre-order matching to post-order work. With our scale, data and technology know-how, no one is better positioned than Fiverr in the freelancing space to lean into AI technology to disrupt the e-commerce experience. Fiverr Business and our move upmarket continue to be a key priority and is essential for our long-term growth. We are making significant strides in our go-to-market strategy this year. Within our existing buyer base, we are identifying ideal customer profiles and exploring different avenues across product, marketing and customer success in order to expand the usage of those higher value accounts and land more accounts of similar profiles. Externally, we are broadening our top-of-funnel outreach in order to penetrate new communities of business customers through partnership relationships. We see lots of potential in this approach and believe it'll be a key acquisition funnel for us that complements the performance marketing and brand investments that we traditionally use. We are also investing into the long-term by continuously rounding out our Business product suite. As part of that effort, we recently announced the integration of Stoke Talent into Fiverr Enterprise, which we believe will benefit our medium and large enterprise customers as we consolidate our services under one brand and create a more unified end-to-end solution for businesses across hiring, freelancer management, payment and compliance. The unified brand makes it easier to market to our customers and to drive usage on both marketplace and freelance management offerings. In conclusion, I'm genuinely excited about the year ahead. We are strengthening the long-term moats and defensibility of our business from multiple aspects. Financially, we aim to significantly improve adjusted EBITDA margin to optimize our growth and profitability profile. Strategically, we are bringing focus and execution to our core business and investing in long-term priorities. And in terms of market positioning, we believe AI brings a step function to our addressable market and we expect it will open new opportunities to transform the e-commerce experience on our platform. We are fortunate to be in such a position of strength and our entire team remains passionate, committed, and focused in turning these aspects into reality. With that, I'll turn the call now to Ofer, who will walk you through our financial highlights.
Ofer Katz: We started the year strong as our focus around efficiency for our business paid off. Revenue of $88 million came in near the top end of our guidance and adjusted EBITDA of $11.3 million, or 12.8% in margin, beat the top end of our guidance. We are pleased with our progress and expect to continue to steadily improve our operating leverage across all expense lines for the rest of the year. Active buyers in Q1 were 4.3 million, as we continue to see a stable Active Buyers trend driven by disciplined and efficient top-of-funnel investments as well as consistent and stabilizing cohort behavior among our repeat buyers. Overall sales and marketing expense as a percentage of revenue in Q1 was 43.5%, an improvement of 560 basis points from Q1 last year. tROI for performance marketing was 0.9x this quarter, the same level as Q4 '22, despite the fact that we typically invest a bit more in marketing in Q1 compared to Q4. We continue to take a data-driven approach in our performance marketing investments and we believe these improvements will not only put us in a stronger financial position while navigating an uncertain environment, but also provide us with the flexibility and capacity to execute our long-term strategic priorities. Spend per buyer for Q1 was $262, up 4% year-over-year as we continue to progress in our upmarket efforts. We have also been encouraged by the spending patterns in our large wallet share buyers. Among those buyers who spent over $10,000 in 2022, we saw the vast majority of them remained very active in the first quarter of 2023. We expect spend per buyer to gradually improve in the second half of the year as we invest further into higher value buyers and as Fiverr Business continues to grow faster than the overall marketplace. Q1 take rate improved to 30.4%, representing a year-over-year expansion of 80 basis points, as we continue to expand our value-added services for both buyers and sellers on our platform. Programs such as Promoted Gigs and Seller Plus continue to perform in-line with our expectations from the beginning of the year. Now, turning to guidance. For the second quarter of 2023, revenue is expected to be $88 million to $90 million, representing year-over-year growth of 4% to 6%. Adjusted EBITDA is expected to be $12 million to $14 million, representing an adjusted EBITDA margin of 14.6% at the midpoint. For the full year of 2023, we expect revenue to be in the range of $355 million to $365 million, representing year-over-year growth of 5% to 8%. Adjusted EBITDA is expected to be in the range of $48 million to $56 million, representing an adjusted EBITDA margin of 14.4% at the midpoint. The stabilizing trends that we have seen in our marketplace along with our cost disciplined approach gives us the confidence to narrow our full year guidance range by raising the lower end while maintaining the top end. We do not see any changes to our current underlying macroeconomic assumptions and as such we will remain prudent in our approach. As mentioned last quarter, we expect year-over-year revenue growth rates to increase over the course of 2023 and we expect to achieve additional adjusted EBITDA margin gains as we progress towards our long-term target of 25%. To summarize, we are confident in our strong financial position and are on track to deliver on our guidance for this year even in this uncertain environment. We will continue to make prudent and forward-thinking investments to help grow our business and capture the opportunities on our platform. With that, we'll now turn the call over to the operator for questions.
Operator: Thank you. [Operator Instructions] First question comes from Ron Josey with Citigroup. Your line is open.
Ron Josey: Great. Thanks for taking the question, everyone. Hi, Micha. Hi, Ofer. I wanted to talk about overall demand. Ofer you talked about active buyers relatively flat. We saw active buyers relatively flat year-over-year, but then also stabilizing macro trends. And just talk to us a little bit more about what you're seeing overall from a buyer perspective? It seems like cohorts are in line, things like you talked about stabilizing demand trends, but are you seeing any change in that? And I'm wondering, I believe on sales and marketing side, Fiverr moderated its performance ad spend in the quarter, maybe towards more brand. Do you think that may have any change or any impact to overall demand? So, question number one is on demand side active buyers. Question number two, Micah, you talked about AI bringing step function to the addressable market. Just any additional insights there? And help us understand how that might come to fruition would be helpful. Thank you.
Ofer Katz: Hey, Ron, thank you for the question. I'll start with the active buyer. So, what we have seen is very stable trend in terms of active buyer. It's driven by consistent cohort behavior and a stable top of funnel. On the consistent cohort behavior, the spending pattern, it's pretty similar to what we expected at the beginning of the year. Very strong repeat revenue trend. If you follow the shareholders' letter, 64% of the marketplace revenue are coming from repeat buyers. So, it gives us a lot of confidence as we look forward. And then on the acquisition, we end up to spend less than a typical Q1. And this is because of the macro where SMB are spending less than usual. So, while we are focused on efficiency and high-value buyer, you can see tROI on the quarter, which is 0.9x, very strong, similar to previous quarter despite the fact that we actually invest more. And we saw a nice growth in high-value buyer who continue to be very robust. So there isn't any change between our flavor between marketing brand and performance marketing. We actually maintain similar strategy throughout the quarter and I think the outcome speaks for itself.
Micha Kaufman: Yes. Ron, I'll maybe augment by saying that the strategy around the mixture between performance and brand is something that we've been doing for forever. And it is proving itself. I mean, we continuously are the number one brand in our space both in aided and unaided awareness. And this also drives both organic traffic as well as consistent core behavior. So, from that perspective, we're just continuing on the same strategy we've been applying for many years, and it is working very well for us. On the AI question, there is not much to add to everything we wrote in the letter to shareholders and my opening comments, we're super excited about this. It's an intriguing piece of technology that provides leap function -- leap progress in terms of the ability to not just make it available for our buyers and sellers, but also use it internally as a team in -- as we said, we're seeing a pretty significant uptrend in terms of the popularity within our catalog. And this is why you should expect us to continue investing in widening the catalog around AI services as they are being invented and they are being invented as we speak. So there is exciting new professions, and Fiverr is the first place that you can find those new professions online. So that gets us very excited.
Ron Josey: Thank you, Micha. Thank you, Ofer.
Operator: Our next question comes from Jason Helfstein with Oppenheimer. Your line is open.
Jason Helfstein: Thanks. Two questions. Like do you think that there is like a leading indicator? So, when you think about active buyers versus spend per buyer as you kind of think through kind of like macro dynamics, is one of the two of those more of a leading indicator? And then, I mean, look, we've been doing some work and kind of took some estimation that, like, 40% of the categories could be at risk for AI, but then it's like you create new categories. On the other hand, presumably pros who have AI skills would have like in a higher ARPU potentially than folks who have non-AI skills. Maybe just like -- I know you probably don't want to put numbers yet, presumably around this, but just how are you broadly thinking about that? Thank you.
Micha Kaufman: Thanks for the question. So, as to leading indicators, so the one thing we don't control because of macro is top of funnel. I mean, the amount of traffic that comes other than the traffic that we can influence through pay channels and through the virality of our product. And when you think about active buyer and spend per buyer, these are two levers that we play with depending on the opportunities and depending on our strategy, meaning that if there is better opportunity within the efficiency of our marketing to acquire more customers, that will influence active buyers; obviously, if we don't see that and we focus more on high-value buyers, then that will influence spent per buyer more. So I don't think that these two KPIs are necessarily an indication. Obviously, if there's more organic traffic, which means that the top of funnel is growing because the market is recovering from macro, you'll see that. You'll obviously, see that in active buyer probably first before spend per buyer. In terms of your question about AI, you're right, it's very hard to understand what categories or how categories might be influenced. I think there is one principle that we've -- that I've shared in my opening remarks, which I think is very important and this is how we view this, which is that AI technology is not going to displace our sellers, but sellers who have better grasp and better usage of AI are going to outcompete those who don't. And this is not really different than any meaningful advancement within technology. And we've seen that in recent years. Every time when there's a cool new technology or device or form factor that sellers need to become professional at, those who become professional first are those who are actually winning. And we're seeing the same here. So, I don't think that this is a different case, it's just different professions, which by the way is super exciting.
Operator: Our next question comes from Doug Anmuth with J.P. Morgan. Your line is open.
Unidentified Analyst: Hey, this is [Wes] (ph) on for Doug. Thanks for taking the questions. Active buyers have been relatively stable. Could you maybe just parse out kind of what you're seeing in amongst different cohorts, rather larger businesses versus small or higher value versus lower value? And then, secondly, on margins for the year, how should we think about seasonality of expenses would be pulling back on marketing and things like that in 1Q? Thanks.
Ofer Katz: Hi, Wes. This is Ofer. I think on the first question, I think I mentioned it earlier on the active buyer. Old buyer, old cohort seems to be very stable throughout the last few months in terms of attendance and spend. On the new cohort, we are focused over the last few years on the acquisition of what we call high-value buyer, those who have bigger wallet by definition. And I think as I mentioned earlier, we see more of this buyer joining the marketplace. Then, on the second question, on the margin for the year, if you accumulate the quarter into the yearly guidance, you can realize that we anticipate EBITDA and margin are going to be better throughout the year. This is driven by more efficiency on scale of the business. If you go back the last few years, I think we are spending behind everything we say in terms of leverage and efficiency, and this is the plan for the rest of the year.
Operator: Our next question comes from Matt Farrell with Piper Sandler. Your line is open.
Matt Farrell: Thanks, guys. Congrats on the launch of Fiber Enterprise. I understand it's a longer-term play on moving up market, but what are some of the near-term goals or targets around the adoption of the integration with some of your larger customers?
Micha Kaufman: Good morning. Thanks for the question, Matt. So, essentially, we addressed this couple of quarters ago, and we said that we were undergoing a process of integrating stock talent into our product, which has tremendous amount of benefits, because putting all of our suite of business solutions, business tools, allows us to actually benefit from the power of the brand, a unified brand, and that allows us to enjoy the brand equity that we have as a company and expand into larger accounts. Now, a lot of these customers are actually customers of one of our different products that might be Fiverr or Fiverr Business. And by creating another tier, the Fiverr Enterprise that allows us to actually identify those customers and smoothly transition them from one product to the other, maximizing their potential to use one of our products.
Ofer Katz: Matt, I'd just complement on Micha. And I think now with the with the integration, one of the focuses is go-to-market and our ability to create good unit economy that will allow us to expand later on. But those are the KPI for Enterprise for the near term.
Matt Farrell: And maybe as kind of an adjacent question, you talked about the ability to drive new buyers through partnerships as a new channel of acquisition. Could you just maybe walk us through an example of that from both maybe an economic perspective, but also what a relationship might look like through a partnership? Thanks, guys.
Micha Kaufman: Yes, I think these are probably partnerships that we're going to announce later on in the quarter. I can potentially call out at least one of them, which is our partnership with Amazon. Since this was not announced yet, I'm not going to get into the details of that partnership. But obviously, we're excited about the opportunity to cooperate with very large well-established brands that can benefit from everything we have to offer. And again, given the fact that we haven't announced any one of these partnerships yet, I'll have to ask you guys to be a little bit patient until we do. Thank you.
Operator: Our next question comes from Andrew Boone with JMP. Your line is open.
Andrew Boone: Good morning, and thanks for taking my questions. I wanted to ask about international. It sounded like Germany was seeing strong traction, given some of the localization efforts there. More broadly, can you talk about localization on a global basis and where you guys are in the process of taking from those learnings and applying them to other markets? And then, secondly, on brand, really positive stats you guys put out there in terms of leading brand awareness. Can you talk about just the brand investment? Can you help size it for us? And then, how much more growth do you guys expect in terms of additional investments to increase brand? Thanks so much.
Micha Kaufman: Andrew, thanks for the questions. In terms of international expansion, so this year our focus is U.K., Germany and France. And it's really focused on the efficiency of our platform there, and also, some of it is to address also macro conditions that we're seeing in Europe. Obviously, everywhere we focus and invest, we make our product better. And that's -- the activity within those countries is increasing. And I think that focusing on those three countries allows us to create a more tight playbook that allows us to really drive improvement but also then use everything we learned for other countries as well. In terms of the brand, it's, obviously, small compared to other performance marketing. We've been very consistent. I don't believe we've ever broken down exactly what is the ratio between performance and brand. And it varies between quarters. But again, it remains consistent and again smaller, obviously, than our performance. I think that, that balance of playing with these two levers allows us to enjoy the best of two worlds. And obviously, they contribute to each other. Overall, the majority of freelancing spend is still offline. So, driving awareness and getting buyer from offline to online has lots of room for growth. And if you look at the total addressable market and just a number -- even if don't go into the mid-market and definitely not to SME or enterprise, just in the SMB market, the number of customers we have, which is pretty large, is still very small in comparison to the total available number of SMBs. So, we definitely see tremendous amount of opportunity there to move the offer activity to the online and brand is one of the tools to do that.
Operator: Our next question comes from Eric Sheridan with Goldman Sachs. Your line is open.
Ben Miller: Hi. This is Ben Miller on for Eric. Thanks for taking our questions. I was just wondering if you could talk about any quality or productivity gains that you've been able to track among freelancers because of Gen AI tools? And then second, just wanted to see if you could expand on some of the initiatives you talked about in the letter to drive better matching and conversion?
Micha Kaufman: Hey, Ben. Thanks for the question. So, in terms of productivity, I think I called out the general principle, which is our sellers are super, super quick to adopt any new technology. And so, if, I don't know, ChatGPT allows them to come up with draft ideas for articles or to summarize complex topics or anything that might make them their work slightly simpler, so they can pick it up from that point and put in, do factchecking, put creative writing, authentic writing into it and make it much better, then they use it. But again, this is not -- I mean, when Adobe released a new version of Photoshop, everybody runs to learn it and make the most out of it. AI is not different in that sense. It's more sophisticated in some ways. But it's an incredible tool and our sellers are among the first, if not the first, to actually take advantage of it. In terms of ways of -- or initiative, at this point, I'm not going to provide more details, obviously, for many reasons, some of them are competitive, but we'll be happy to announce them once they're out.
Operator: Our next question comes from Bernie McTernan from Needham & Company. Your line is open.
Bernie McTernan: Great. Thanks for taking the questions. Just wondering if you're seeing new or existing customers engage with the new AI service areas? And just -- I know you're pulling back on some performance marketing spending, but anything you're doing to raise awareness that those tools are available? I know that there's the category on the homepage, but anything you're doing to raise awareness as Fiverr is place where people can engage with AI tools?
Micha Kaufman: Yes, sure. So, essentially, by adding specific vertical into our catalog and introducing more categories is definitely the first step. A lot of what we do in communicating with our customers is a second way of doing it. I think there's a lot of education that we put in place in our conversation with our community, both the businesses and the freelancers. And we definitely promote the usage of anything that can do -- that can improve the lives of both our customers and our talented community and make the most out of it. I would say that because of the exposure that this has been receiving, they seem to be educating themselves pretty fast. And obviously, there is also differences between how smaller businesses are adopting it and how larger businesses are adopting it. And I think that this -- it also opens up really interesting opportunities with the different segments of customers.
Operator: Our next question comes from Marvin Fong with BTIG. Your line is open.
Marvin Fong: Good morning. Thanks for taking my questions, and congrats on the nice execution in the quarter. So two questions, I guess similar to the last question. So I know it's early days in AI, but are you seeing that the buyers who are purchasing those services are skewing towards new buyers for you guys? And also, are you noticing any other differences with these buyers perhaps the spend per buyer different or the makeup between SMB or larger enterprises, just any color there? And then, second question on the active buyer count, I know in the letter you referenced that larger cohorts in the past just because of the natural churn sort of depressing smaller cohorts that you're acquiring right now. So I'm just curious when does that affect kind of normalize and stabilize such that the larger cohorts in the past no longer becomes a significant headwind to your active buyer account? So, any color there will be great as well. Thank you.
Micha Kaufman: Thanks for the questions, Marvin. Well, as to your first question about AI services, I think it's too soon to call any specific trends. Maybe the short answer is probably no to both your questions; are we seeing differences between new and repeat or the [SVB] (ph)? But again, until we can call out something that seem to be stable or trend, we'll have to wait. We're obviously, tracking it very closely.
Ofer Katz: And then, Marvin, on the second question on the active buyer comes from, we haven't mentioned this headwind throughout this discussion or any of the documents, which is an indication that the lapping period is actually about to be over. So, we don't expect any material effect from old cohort, big cohort to impact the future headcount of buyer.
Marvin Fong: Okay.
Operator: Our final question comes from Rohit Kulkarni with ROTH Capital Partners. Your line is open.
Rohit Kulkarni: Hey, thanks for taking my questions. What is on the -- this comment that you have, very encouraging, new buyers coming from non-paid channel is up. Maybe peel back that a little bit? Maybe talk about how sustainable that is? Maybe that creates kind of a more long-term halo in how much leverage you can have in your overall marketing spend? And second is just on the '23 guide. Also encouraging that you are narrowing the range, tweaking it higher. I would view that as a sign of better visibility, confidence. Maybe talk about how the overall, like, past three months and into May have progressed that gives you kind of greater confidence despite kind of what we are seeing in the market around visibility or around kind of external forces still affecting the drivers in a lot of Internet companies as such? So, would love to hear your comments on both these things. Thanks.
Micha Kaufman: Sure. Hey, thanks for the questions. So, in terms of organic channel, if you look at organic versus paid, the majority of our new business is coming from organic, so -- and that's been the case, which is great, because -- and that ties in back to the efficiency of our marketing. Meaning that despite the fact that we've been increasing our investment in paid marketing, the organic channels continue to grow along with it, which means that the viral coefficiency of everything we do is high. And I think that if we think about moving into the future, we spoke about strategic partnerships. I think that this is -- this could be a source for further traffic that is not paid, but again, too soon to talk about this. Hopefully, we're going to be able to talk about this in the next couple of quarters.
Ofer Katz: And then, on the second question regarding guidance, we narrowed the range because we feel more confident as we look forward based on the outcome and the fundamentals that we've been seeing throughout the first quarter. When I say fundamental, I mean the cohort behavior, which is continued to be very consistent with our expectation, and the top of funnel, the acquisition, which happen to perform very well. The combination of both give us the confidence looking forward that we can raise the midpoint [and fall] (ph) within the guidance that we previously released.
Operator: This concludes our Q&A. I'll now hand back to Micah Kaufman, CEO, for any final remarks.
Micha Kaufman: Elliott, thanks for moderating the call today, and for everyone participating, thank you for joining us this morning. And I hope you have a great day, and see you soon in one of the next conferences. Thank you.
Operator: Ladies and gentlemen, today's call has now concluded. We'd like to thank you for your participation. You may now disconnect your lines.